Operator: Ladies and gentlemen, good morning and welcome to Kelly Services fourth quarter earnings conference call. All parties will be on a listen-only until the question-and-answer portion of the presentation. Today's call is being recorded at the request of Kelly Services. If anyone has any objections, you may now disconnect. I would like to turn the conference over to your host, Mr. Carl Camden, President and CEO. You may begin, sir. Thank you.
Carl Camden: Great and thank you. Good morning. Welcome to Kelly Services' 2009 fourth quarter and year end conference call. With me on today's call is Patricia Little, our CFO. Let me remind you that any comments made during this call including the Q&A may include forward-looking statements about our expectations for future performance. Actual results could differ materially from those suggested by our comments. Please refer to our 10-K for a description of the risk factors that could influence the company's actual future performance. Let me start this morning by saying we're very pleased to report improved results for fourth quarter of 2009. Most notably, we experienced better than expected revenue increases across all of our individual business segments, which I'll highlight in my segment discussion. We exhibited solid expense control during the quarter and Patricia will detail our cost-cutting actions and restructuring efforts in her financial review. And finally, our renewed strategy is strengthening Kelly's competitive position, both operationally and strategically. And I'll share elements of that updated strategy in my concluding remarks, after which we'll open the call for your questions. Let me tell you, it's good to put 2009 behind us. The year began with little optimism. There was high anxiety over the depth and duration of the global economic slowdown and a great deal of uncertainty about the condition of labor markets was felt throughout the year. The end of the U.S. recession was officially declared in June. For our industry and for Kelly, improvements didn't really begin to show up until the third quarter with more pronounced progress in the fourth and we ended the year decidedly more optimistic and with greater confidence that the stage has been set for a solid sustainable recovery in 2010. We are encouraged by the recent trends we're seeing. In particular, temp volumes are showing meaningful sequential increases, but we know the impact of the past recession will be felt for quite a while and it will take considerable time to recover all of the lost jobs. As is always the case, the impact of a recession was very pronounced in our industry. However, we're very pleased to see that temp employment has risen more than 12% since June with January marking the sixth consecutive monthly increase. The temp penetration rate in the U.S. has increased to 1.52% continuing to rebound after bottoming in July 2009 at roughly 1.33. For Kelly, in particular, we've now experienced eight consecutive months of increased demand in our light industrial staffing and after stabilizing in the third quarter, demand for office/clerical is again picking up, as is demand across nearly all of our professional and technical business lines. Further, these trends translated into improvements in our quarterly results. Fourth quarter revenue was up 14% sequentially from the third quarter. Now, we attribute roughly four to five percentage points of that growth to the extra billing week in December. Our fourth quarter contained 14 weeks and our fiscal year included 53 weeks. Please keep in mind that all references made to prior periods include the 4% to 5% point impact of this extra week. We're very pleased that in spite of a year-over-year revenue decline of 7% in the fourth quarter, excluding restructuring costs, Kelly achieved a small operating profit for the quarter of $400,000 and ahead of street expectations. Expenses for the quarter were down 16% year-over-year and down 20% for the entire year. That's a reduction of $200 million excluding restructuring charges. Our gross profit rate was 15.8% in the fourth quarter, down 180 basis points from the prior year due to changing mix and declines in placement fees, but remained unchanged from the third quarter. Let's now review the operating results by business segment beginning with Americas Commercial, which represents 40% of our revenue. Sequentially, revenue in number Americas Commercial in the fourth quarter was about 19% higher than that in the third. This compares to a sequential drop of nearly 4% for the same period last year. On a reported basis, revenues fell 6% year-over-year in the quarter, an improvement from the 25% decline in the third. On the other hand, as you would expect in the early stages of a recovery, fees continued to be significantly down. Our combined temp-to-perm and direct placement fees were down 58% year-over-year for the quarter, about the same as the 61% decline in the third. Kelly's gross profit rate continues to be negatively impacted by this year-over-year drop in fees, growth in light industrial staffing as well as higher workers' compensation cost. For the current quarter, the gross profit rate was 14.3% or 190 basis points lower than the same period last year. However, sequentially, the GP rate was about the same as the third quarter. Tight expense control in our Americas Commercial has reduced spending this quarter by about 15% compared to last year excluding restructuring costs. During the quarter, we incurred roughly $3 million related to severance and consolidation and closure of 53 additional branches. We closed and consolidated approximately 85 commercial branches in the Americas in 2009. Commercial earnings were down 48% year-over-year in the fourth quarter, but were sequentially improved from the third. I'm very pleased, however, that in spite of the challenging economy here in the U.S., excluding employee and lease termination costs, Americas Commercial achieved profitability in all four quarters of 2009. Now on to Americas Professional and Technical representing about 17% of company revenue. Sequentially, revenue in the fourth quarter was roughly 8% higher than in the third. Last year the sequential drop in the fourth quarter was 7%. PT revenue also improved on a year-over-year basis in the fourth quarter, declining by only 5% compared to the 18% decline in the third quarter. Taking a closer look at our PT segment, for the fourth quarter, we saw sequential growth across nearly all business lines. The standout performer was our legal business, with revenue increasing 20% sequentially and 27% year-over-year. Combined temp-to-perm and direct placement fees for Professional and Technical were down 43% year-over-year for the quarter. This is slightly better than the 57% year-over-year decline we saw in the third quarter. Lower year-over-year fee performance is found across all of the PT businesses and sequentially, total PT fees were about flat compared to the third quarter. For the entire segment, our gross profit rate was 15.3%, down 180 basis points from the same period last year and about flat with the third quarter. The year-over-year decline was attributable to lower placement fees and customer mix. For the quarter, expenses decreased by 11% excluding restructuring. Included in the fourth quarter expenses are $800,000 of employee and lease termination costs related to the consolidation of 15 PT branches in the Americas. We've consolidated approximately 20 branches during the year. PT earnings were down 34% year-over-year in the fourth quarter, an improvement over the 53% decline in the third. Again, we're very pleased that we achieved solid earnings on lower revenue in each of the four quarters in 2009. I'll now turn to our EMEA region, which comprises 23% of revenue. EMEA Commercial also showed signs of improving trends, sequentially reported revenue increased 5% compared with the third quarter. On a constant currency basis, revenue was down about 23% year over year. For the remainder of my EMEA discussion, all revenue results will be discussed in constant currency. The greatest improvement during the quarter was seen in Eastern Europe increasing 28% sequentially compared to the third quarter and up 2% year-over-year. That growth was primarily due to the performance of Russia and Hungary. Western Europe was up 8% sequentially from the third quarter, but down roughly 18% year-over-year and much of this improvement was attributable to our operations in France. Turning to fees, revenue for the quarter was down 46% year-over-year. This was primarily driven by fee declines in the U.K., Switzerland and Russia. This was a small improvement compared to the 60% decline seen in the third. The quarterly GP rate was 15.7% compared to 16.8% last year. This decrease was mainly driven by the reduction in placement fees and the effects of pricing pressure, as well as shifts in business mix across much of the region. Expenses were down 31% excluding restructuring year-over-year. During the quarter, we closed or were in the process of closing and consolidating 35 additional Commercial branches. We restructured our operations and closed branches in Italy, the Netherlands, France, Switzerland and Luxembourg, ended staffing operations in Finland, Spain and the Ukraine and sold our Turkish operations. Excluding the restructuring costs, EMEA Commercial achieved an operating profit of $2.2 million in the fourth quarter. That's an improvement of nearly $6 million compared to the same period last year, and a sequential improvement from the third quarter. Revenue in EMEA Professional and Technical increased 9% sequentially over the third quarter and was down 6% year-over-year. Double-digit growth is still being seen in Switzerland, Germany and now France with outsized growth in Belgium. Fees in the quarter were down compared to last year by 37% or about the same as the third quarter. The gross profit rate in the segment was 24.7% for the quarter compared to 29.1% last year and this decrease is due to lower perm fees. PT expenses declined by 10% compared to a year ago or 17% on a constant currency basis. EMEA PT operated at a small loss for the quarter, essentially the same as last year. Our APAC region, which comprises 8% of total company sales, was also seeing improving signs of economic growth and labor market stabilization. Commercial revenue in APAC was up 17% sequentially compared to the third quarter and was down only 2% on a constant currency basis year-over-year. The gross profit rate was 14.6% in the fourth quarter, declining by 90 basis points when compared to the same period last year. This drop is primarily the result of a reduction in perm fees particularly in Australia, New Zealand and Singapore. Excluding restructuring, net operating income for APAC commercial totaled $600,000 compared to a loss of $1 million in the fourth quarter of 2008. Professional and Technical staffing within APAC also showed signs of improvement. Sequentially, fourth quarter PT revenue grew by 11% over the third quarter. However, on a constant currency basis, revenue decreased by 16%. The gross profit rate increased by 220 basis points year-over-year in the quarter to 28.6%. The improvement is due to higher fee-based revenue from Singapore and Malaysia. APAC PT reported a small loss in the quarter, about the same as the prior year. On a combined basis, expenses for the entire APAC region during the quarter were down over 3% year-over-year excluding restructuring costs. Our final segment is our Outsourcing and Consulting Group, representing 6% of total company revenue. Sequentially, OCG revenue was up roughly 30% in the fourth quarter compared to the third. This improvement was due primarily to the normal seasonal build of our Business Process Outsourcing business. Year-over-year, revenue was about flat with the previous year. On a year-over-year basis, both the Americas and Asia had positive revenue growth of 2% and 10%, respectively, for the fourth quarter. However, Europe continued to show a decline in revenues as compared to the prior year primarily due to our Recruiting Processing Outsourcing, RPO, practice there. As we've seen for much of 2009, revenue declines were most pronounced in our RPO practice in both the U.S. and Europe. However, I'm encouraged by the pick-ups in U.S. RPO activity we're seeing from existing customers along with new account wins. In fact, fourth quarter revenue grew 8% sequentially from the third quarter in the Americas RPO unit. In addition, our BPO and call center practice areas exhibited sequential growth of 43% compared to the third quarter and year-over-year revenue growth of 16% in the Americas for Q4. Our Executive Placement practice improved with the fourth quarter marking the third consecutive quarter of sequential growth. On the other hand, the Ayers Group, our career transition and outplacement unit, reported a sequential decline of 29% for the fourth quarter compared to the third. On a year-over-year basis revenue declined 31%. Declines in this unit are typical during periods of economic expansion when companies slow or suspend their downsizing activities. OCG's total gross profit rate was 22.7% for the quarter compared to 27.6% for the same period last year and sequentially represents a 340 basis point drop from the third quarter. These declines are attributable primarily to seasonal business mix shift and more fundamental declines in margins in our RPO practice. For the fourth quarter of 2009, expenses were down 1% year-over-year excluding restructuring. On a combined basis, OCG had a loss of $2.4 million in the quarter excluding restructuring. Although, a sequential improvement compared to the third quarter, this was still down to the small profit we earned last year. While we are encouraged by our ability to win new customers during the past few months, volumes have not yet ramped up to anticipated levels. Now, I'll turn the call over to Patricia who will cover our quarterly results for the entire company.
Patricia Little: Thank you, Carl. Before I get into our fourth quarter operating results, I'll provide an update on our restructuring activities. During the fourth quarter, we spent approximately $13 million or $0.29 per share on restructuring activities primarily related to employee and lease termination costs. While these costs were spread around the globe, the largest portion came from the Americas and EMEA. Our total year restructuring costs were $30 million or $0.69 per share. You may recall that in 2008, the fourth quarter included impairment charges of $80.5 million or $2.22 per share as well as restructuring charges of $4.3 million or $0.11 per share. Moving on to our operating results for the quarter, revenue totaled $1.2 billion, an increase of 14% compared to the third quarter, but still down by approximately 7% or 10% in constant currency compared to the prior year. This is a significant improvement over the third quarter when revenue grew by 2% on a sequential basis and was down 25% compared to the prior year. During the quarter, we saw a sequential revenue increases in all of our business segments. As Carl mentioned, 2009 did include a 53rd week, which we estimate added about 4% to 5% to fourth quarter revenue. This extra week impacts all of our revenue comparisons. Our gross profit rate was 15.8%, a decrease of 180 basis points compared to last year. The decrease was caused primarily by a significant decline in fees as well as a reduction of our temporary margin. It's the same rate as in the third quarter. Worldwide, our fees declined 30% year-over-year which compares to a 48% year-over-year decline in the third quarter. Our average temporary margin has been impacted by shifts in our business and customer mix, as light industrial's proportion of our business increased compared to office and as large corporate customers' proportion increased compared to retail. Moving on to selling, general and administrative expenses, for the fourth quarter, our expenses were down 12% or $27 million on a year-over-year basis. Excluding the restructuring items I noted earlier, we were successful in reducing our SG&A cost by 16% or $36 million on a year-over-year basis. Also, excluding restructuring charges, expenses were down in every region year-over-year. SG&A expense decreased by 14% in the Americas, 27% in EMEA, 3% in APAC, 1% in OCG, and 14% in our corporate headquarters. On a full-year basis excluding restructuring, expenses were down 20% or $200 million. Let me take you through the detail of where we have reduced our costs in 2009 full year. First, the structural reductions we take as we continue to right size our business by evaluating our operations around the world and reducing the number of permanent employees and branch locations as appropriate. We've reduced the number of full time employees by almost 1,900 people and have closed, sold or consolidated more than 240 branch locations. This is an additional 300 people and more than 100 branch locations compared to last quarter. We have made changes in virtually every operation around the world, with the more significant adjustments occurring in the U.S. and Europe. These structural actions reduced our year-over-year SG&A costs by $110 million in 2009. Second, as I have discussed in prior quarters, we've taken a number of compensation related initiatives worth $30 million. Third, we've reduced discretionary costs in areas such as travel and recruiting. These actions, which will tend to reverse business picks up, are worth $25 million. The decrease in litigation costs accounts for $17 million. And finally, foreign exchange accounted for $30 million of the cost change year-over-year. To summarize, SG&A costs were down $200 million for the year, of which $30 million was exchange, structural reductions accounted for $110 million, compensation initiatives totaled about $30 million, other discretionary savings accounted for $25 million and litigation accounted for $17 million. All of which were partially offset by $12 million related to prior year acquisitions. We still have a few planned restructuring activities primarily in EMEA which will carry over into the first quarter. However, at this point, we believe we have completed the majority of our restructuring activities and it is time to focus externally and on growing our gross profit line. As we talk about total earnings, you may find it helpful to turn to page 13 of our press release since it summarizes the walk from GAAP numbers to pretax and EPS operating results excluding restructuring, impairments and similar items. Also, in the segment results in the press release, you can find the segment operating results that Carl referenced in his remarks. In the fourth quarter our GAAP loss from operations was $13 million compared with a loss of $83.7 million in 2008. Excluding impairment and restructuring charges from both periods, we had an operating profit of $400,000 in 2009 compared to an operating profit of $1.1 million in 2008. Pretty close to breakeven in both periods. Although, the bottom line results are similar, in the fourth quarter of 2009, we had 7% lower revenue and $36 million lower gross profit compared to 2008, but our expense savings of the same amount allowed us to reduce our breakeven point to a much healthier level. This lower breakeven point will allow us to return more quickly to profitability as the economy continues to recover. Income tax benefit in the fourth quarter was $5.7 million on a pretax loss of $13.9 million. The fourth quarter tax rate was a benefit of 41%. Diluted loss per share from continuing operations for the fourth quarter of 2009 totaled $0.23 per share compared to diluted loss per share from continuing operations of $2.55 in 2008. Again, excluding impairment and restructuring charges from both periods, we earned $0.05 in 2009 compared to a loss of $0.22 per share in 2008. Before I turn to the balance sheet, I'll make a few general comments about 2010. First, although, the economy may continue to improve, our revenue is seasonally lower in the first quarter than in the fourth. Additionally, until fees come back, our GP rate will not improve from its current level. As I said, we're essentially done restructuring and I don't foresee a significant change in our base expenses compared with the second half of 2009. I do expect there will be volume-related variable compensation which will tend to be back loaded in the year. Turning to the balance sheet, I'll make a few comments. Cash totaled $89 million, down $29 million compared to the $118 million we held at the 2008 year end. Accounts receivable totaled $718 million and decreased almost $100 million compared to 2008. For the quarter, our global DSO was 51 days, up one day compared to the prior year. Accounts payable and accrued payroll and related taxes totaled $391 million and decreased $96 million compared to year end 2008. The decrease in these other liabilities roughly offset the decrease in accounts receivable. Because our fiscal year ended after the calendar year, payroll and related taxes which were accrued at the prior year end had already been paid by year end in 2009. Debt of $137 million is up $22 million compared to the 2008 year end, primarily due to fourth quarter borrowing. We used our new securitization facility for the fourth quarter borrowing. At the end of the fourth quarter, debt-to-total capital was 20%. In the third quarter call, I described our agreement to restructure our revolver and term debt. In the fourth quarter, as expected we closed an agreement for a new $90 million secured revolving credit facility and closed amendments on our long-term debt agreements. In the fourth quarter, we also entered into a new $100 million securitization facility with PNC Bank. The facility is committed and has a term of 364 days. It provides us with a cost-effective way to fund working capital needs and to issue standby letters of credit as required. Turning to our cash flow, net cash from operating activities was a use of $17 million compared to cash provided of $102 million last year. The change reflects operating losses in the first three quarters, payments for legal settlements and increased working capital needs in the fourth quarter as our business picks up. We were able to partially offset the decrease in cash from operating activities by spending almost $60 million less on capital expenditures, acquisitions and dividends. From a financial perspective, this has certainly been a challenging year. We reacted to unprecedented declines in volume and to associated debt covenant issues during a period of severe credit tightening. In response, we have significantly reduced our cost structure and our breakeven. At the same time, restructuring our debt to ensure, we have adequate capital resources available to maintain sufficient liquidity. This is a time of transition for us as we turn our attention from an internal focus on cost-cutting to an external focus on serving our customers in order to maximize the GP now available in an expanding market. I'll turn it back over to Carl for his concluding thoughts.
Carl Camden: Thank you, Patricia. By any measure, 2009 was the most challenging year we faced in our history. Economic conditions had a profound and unprecedented impact on our financial performance, but it was also year which saw fundamental changes in the labor market which provided us an opportunity to reassess our operations and adjust our strategy. Perhaps, the most notable shift was an increasing focus by companies to develop more comprehensive and reaching solutions for managing their workforce going forward. Many of our largest customers are now turning to Kelly to manage their entire free-agent workforce. A workforce comprised not just of temporary employees but independent contractors, consultants, self-employed professionals and so on, and to provide them with the access to the skills they need, especially critical as talent shortages emerge in professional and technical disciplines. The expectation that Kelly will be the primary staffing provider in all geographies no longer exists as companies shift their expectations. These new services to manage workforce solutions across the spectrum of free-agent workers is at the core of our OCG products and our strategic focus. While we spent the last 18 months or so responding to this strategic shift in the market, it has also given us the ability to reshape Kelly to become leaner, more agile, more customer-focused than ever before. During the year, we moved aggressively to restructure our operations by closing and consolidating branches, eliminating unprofitable staffing operations in various countries where we no longer had to be physically present, cutting workforce, controlling cost and becoming more efficient in the way we deliver solutions to our customers. The changes we made were extensive, affecting every operation in every market we operate. As Patricia said, the substantive restructuring and related costs are now mostly behind us, and we will be vigilant in controlling cost and leveraging our lower expense base to the fullest potential as we focus on improving profitability in the year ahead. There should be no doubt that Kelly has emerged from this recession as a stronger, more competitive company with a clear strategic vision of the future to provide the world's best workforce solutions. We've aligned our strategy with the evolving need of our core customers, the world's largest companies, but at our core the fundamentals are the same. We remain focused on achieving profitability in each operation, accelerating growth of higher margins services such as our Professional and Technical disciplines and our Outsourcing and Consulting Services. Increasing our focus on customer acquisition and building consultative relationships that can create success for them and drive profit for Kelly. We're very optimistic about the year ahead. 2010 will be a year of great opportunity for Kelly. At no other time has Kelly been in stronger position to capture market share, win new business and increase earnings. We're excited. We believe that the changes in the marketplace play to our strengths. We recognize, however, that challenges remain. It will take some time to emerge from the shadows of this dramatic recession, but for now, the momentum is building, the economy is rebounding, temporary employment is picking up and demand for professional and technical talent and comprehensive workforce solutions is increasing as well. This concludes our formal comments this morning and Patricia and I will now be happy to answer your questions. Tom, the call can now be open.
Operator: (Operator Instructions). Our first question today comes from Toby Sommer representing SunTrust Robinson Humphrey
Toby Sommer - SunTrust Robinson Humphrey: I have a question for you about gross margins. In the quarter, were any of the restructurings, would they be captured in that, is there any charges? I just want to make sure that's kind of an unfettered number. Then how should we think about gross margins in an expansion phase here, because I know in the prior cycles we've been burdened by SUTA and other taxes that tend to be reflected later on. There has also been some changes in the marketplace. So I'd love to have your perspective.
Carl Camden: First off, no, the gross margin number is pure. It doesn't include any of the restructuring cost. In terms of thinking about gross margins, you had two or three sub-questions there, so let me work my way through them. First off, as Patricia said in her comments and I was implying, until you see a pick-up in permanent employment which will first show up for us in temp-to-perm fees and than on placement fees, there is not going to be a substantive movement in the gross margin. A SUTA had a significant impact on the industry as we came out of the last recession. I think the industry have learned very important lessons. We embedded in contracts the ability to make changes. We began working with customers six months ago to prepare them for the increases. We're making very good progress on recovering the increased unemployment taxes. In fact, probably, what's impeding us most is the uncertainty as to exactly what those numbers are going to be in a few states and then closing in with customers on that. Much more progress by a Kelly and I would say for the industry as I've watched others report. I think the industry was very focused on that this time, Toby. Workers' compensation has been a concern, but it's played less. Usually, that showed up in the downward part of the cycle as people shifted to workers' comp as an alternative form of unemployment compensation. Less of that took place this time. I think workers' compensation, while it will have a modest impact for us as an example as our mix shifts in the early part of the recovery to more light industrial business, I think overall you should see more margin stability in the industry this cycle than you saw the last recession.
Toby Sommer - SunTrust Robinson Humphrey: From a technical aspect, could you remind us what a typical seasonal sequential decline in gross margin is like as things reset from the fourth quarter to the first?
Patricia Little: On a percentage basis, we wouldn't expect to see a decline in the gross margin rate. I did reference a revenue decline which we would typically see, but we would expect our GP rate to be about the same, again, until fees pick up and we get the good news from them.
Toby Sommer - SunTrust Robinson Humphrey: I wanted to ask you about OCG and what that has meaning for you in the marketplace. You mentioned kind of opportunities for market share gains, is your capability in OCG a significant driver of that expectation?
Carl Camden: Yes. So I could stop there, but I never do, Toby. In our DNA, we have at our core been focused on a modest number of very large global customers that we've had significant relationships now for over a decade. Those large customers first took us quickly into establishing a position in Professional and Technical Services several years ago. Not surprisingly, those large companies who tend to be very sophisticated have turned to us again saying that was nice. Now what are you going to do for us with our independent contractors, with our recruiting of professionals, with our consultants, with our self-employed professionals? They are turning to us for a comprehensive solution to all of the talent that's loosely associated with them as opposed to just temporary employees. So not that do we have very extensive capabilities, we also have customer relationships and history with them and are continuing to step up the value chain and solutions that we provide.
Toby Sommer - SunTrust Robinson Humphrey: Just one more question and I'll get back in queue. I missed something in your prepared remarks. You mentioned BPO and call center. Could you rehash what you said there?
Carl Camden: I can't. Toby, I'll get back to that in a second while I look up the page. We give somebody else a chance to ask a question here, Tom.
Operator: Our next question comes from the line of T.C. Robillard, Signal Hill Capital. Please go ahead
T.C. Robillard - Signal Hill Capital: I just wanted to follow along on a couple of the questions from Toby just in terms of what we could typically expect in terms of a seasonal move into the first quarter here. Patricia, just around the SG&A base, how much of that is variable and flexible or should we kind of be using the absolute dollar level as kind of a base rate as we go through the first half of 2010?
Patricia Little: There are a couple of moving parts in there and I think that they'll come out to be that the base rate in dollars on an absolute basis is pretty good. We'll still get some good news coming through from the restructuring that we took in the fourth quarter, but that will be offset because there is some cost that comes back in as business picks up. It's not completely fixed. We're going to be investing in recruiters. We don't want to miss the ability to get the fee growth once the perm starts coming back. We have a lot of implementations in our OCG world that we also will add some cost in. So when I look at all of that and sort of estimate, I'd say that the absolute dollars that you've seen in the second half are probably pretty good.
T.C. Robillard - Signal Hill Capital: Just, I guess, more in terms of guidance thoughts on a go-forward basis, now that that business seems to be on the right trajectory here particularly as you're seeing stability in light industrial, some office clerical, when would you expect to get to a comfort level where you could return to kind of forward quarter guidance?
Carl Camden: I'm not certain that we will return to forward quarter guidance. In conversation with the Board we talked about it being a more common practice. We will revisit with the Board and our executive team that discussion, but I'll tell you right now at the moment, if you ask what's the biggest open question that I hear from Department of Labor and economists and ourselves is, what's going to be the trajectory of growth? We don't know. So, even if we were completely thrilled about the idea of returning to guidance, now wouldn't be the time anyway. If I could answer quickly, T.C., Toby's question, Toby, what we said was that our BP and call center practice had sequential growth of 43% from the third quarter and year-over-year growth of 16% in the Americas. T.C., does that answer your question?
T.C. Robillard - Signal Hill Capital: It didn't. Just one last one, just more kind of longer term bigger picture, I know your focus continues to be on growing the Professional and Technical business throughout your global network. I just wanted to get your thoughts with what we've seen over the last five or six months here with a couple of your competitors making acquisitions in that area; Adecco's acquisition of MPS and then Manpower with Comsys. I'm just trying to get a sense of your thought process as to kind of how you see yourselves competitively vis-à-vis these two competitors now. Do you get a sense that there is opportunity out there or is this still organic growth story for you on Professional and Technical?
Carl Camden: At the moment, it would still be more of an organic story. So you have these dynamics in the marketplace. You don't end up with comprehensive contracts where you're the sole provider of Professional and Technical staffing pretty much for any company these days. It's always shared with companies like Kelly running the process by which that sharing takes place. The more branches you have, the more you can participate in that, but you get to participate when you have a branch network the size of Kelly's. Will we look at expanding the branch network in the future? Sure. Would we look at acquisitions in the future? Yes. Is that a pressing urgency now? No.
Operator: Our next question comes from John Healy with North Coast. Please go ahead.
John Healy - North Coast: I was hoping you could talk a little bit about the competitive environment. I was hoping to get your thoughts on the Americas and as well as the international business. How do you feel competition compares to maybe a couple of months ago and maybe how you feel price competition may play out as we move through 2010?
Carl Camden: So when people ask about the competition, they're usually asking as you, just as you wrapped up with how is price competition. I would say the industry for a variety of reasons has shown more price discipline than they did in the prior recession. First of all, because I'm not certain there was any room for prices to go lower and then for people to still make a profit. Secondly, it turned out to not be a very good strategy for companies in the last recession. I would say that the increasing price competition that we do see spotty here and there tends to come from more regional players than it does from the larger nationals. Of course, any of the large global companies have been somewhat aggressive when one of their larger accounts is in play. Everybody understands how that particular dynamic works. I would say a second change from the prior recession was a reassessment by each of the major players in the industry focusing on what do we all do best. And rather than attempting to compete everywhere across every business line, each of the companies choosing to focus on where they have the best competitive edges, had scale, have an ability to deliver good operating results. So you're seeing most of us remove ourselves from less profitable or unprofitable areas and really put resources into where we have more competitive strength. So, both the price discipline and the competitive focus I think has been significant changes for the industry this cycle.
John Healy - North Coast: Carl, I was hoping you could talk about the RPO business a little bit. It seems like it's a pretty exciting opportunity for you guys. Is there any sort of color you could lend to us in terms of what pace are people really pursuing those offerings? Is it just more people are talking about it? Are you seeing decision makers actually now come to the table? What sort of scale do you think that business needs to get to before it can become a more significant contributor to profits?
Carl Camden: It's the best of times and the worst of times in the RPO business. On the worst of times, until you see permanent employment picking up around the world, you're not going to see a lot of recruiting activity for permanent positions taking place, which means most of us who are in the business have the infrastructure and the account relationships, but barely the volumes to do what it is that is needed to be done to be profitable in those areas. Secondly, the best of times are is that there is a significant recognition by customers that, as they look towards workforce solutions that are outsourcing all or part of their permanent recruitment is a big part of that overall strategy, so that they could focus on different parts of their HR needs. So there has been significant proposal activity. So I would conclude by saying that I think during this time of recession, there has been a restructuring of that industry in terms of who are the major players, how many contracts are out for bid and that you'll see how it plays out once we get a solid year of permanent job growth on a global basis. Scale is interesting in the RPO business. Unlike a branch-branch network, you can have more consolidated facilities in the RPO side. So it is easier to obtain scale, but most of your fees are based on transaction volumes. So does you no good to have had scale if you don't have transactions.
Operator: Our next question comes from the line of Ashwin Shirvaikar with Citi.
Ashwin Shirvaikar - Citi: I have one fairly broad question. I know you're not giving guidance, but if you could talk about how you think about both revenue and margin trends, the factors that affect them head into the early part of this year. Maybe you could start off with addressing very basic things like the number of billing days given that the December quarter actually ended in sort of January. Things like SUTA impact, if you December trends held in January and even if they stay flat, do you have enough volume to be profitable, things like that?
Carl Camden: We can answer parts of those and some of those we can't. So in terms of revenues, obviously, you all have to calculate, we all have to calculate billing days that matters. In terms of some of the more newer services that are fee-based, that often more monthly based or on transaction volumes and it's less than sensitive to billing days. So you have greater sensitivity in the staffing lines and much less sensitivity to billing days in the OCG lines. On a macro basis, you all know that there is a strong correlation to GDP growth with demand for temporary staffing. As you saw the fourth quarter GDP numbers come in very strong, again, most of the staffing firms including Kelly reporting very strong sequential growth in the fourth quarter. You all will rely on your GDP models to give guesstimates on forward guidance. We're clearly at a stage of the economy where in many countries, the growth in temporary staffing will account for more than 100% of job activity or job growth in the country. So, the BLS numbers released today show job losses of about 20,000, but show job increases in temporary staffing. So this is a period of time where we will account for a much higher than normal proportion of job growth activity. As we've said before, until you see job growth in whatever economy you're looking at, until you see job growth on the permanent side, all of us on the staffing side are going to be suffering from the margins that in various countries margins are more or less dependent upon some portion of GP dollars coming out of fees. Right now, we're kind of consistently in most places of the world anywhere from 30% to 60% down on a year-over-year basis. Then you have to start hearing numbers of 20%, 30%, 40%, 50% improvement on a year-over-year basis to begin to see anything significant on the margin side. SUTA will have an impact, but it will be a much smaller impact than it was in prior years. You've heard from others in the industry and us mentioning that we're making significant progress. So by the end of the first quarter, you'll hear most of us talking about where that sorted out for us as final numbers are in, but it will be much more modest this time than last.
Ashwin Shirvaikar - Citi: Is it fair to assume that the way temp trends as reflected in the BLS data are kind of working through the system? Is that a good proxy for Kelly as well? I'm assuming it is, but I just want to hear you.
Carl Camden: Yes. It's a good proxy for the baseline. Of course, I would be challenging the operating team to do better than that and probably every CEO in the world is doing so, but some will and some won't. In terms of a general directional number and a general range of growth, yes, that's the right number.
Ashwin Shirvaikar - Citi: Is there a, from a profit standpoint, any leftover impact from restructuring actions that seem to be behind you now?
Patricia Little: Ashwin, I mentioned in my remarks that in the first quarter, we will do a little bit more restructuring. Its things that are under way, but some of the leases and so forth, we wanted to negotiate frankly longer with some of them. So there will be a little bit more in the first quarter, but nothing on the scale of what we did in the fourth quarter.
Carl Camden: You'll see some of the impact of things we did in the fourth quarter, as Patricia said, then be a positive impact in the first. Then you'll see some pick-up in variable cost as there is increases in volumes. Everything from a simple as you cut more paychecks, you mail more, you deal more, but you haven't seen all of the impact of the past restructuring play out on the numbers.
Operator: (Operator Instructions). We'll go to Bill Sutherland with Boenning.
Bill Sutherland - Boenning: Carl, I wanted to ask you kind of what your priorities are as far as use of cash as you look forward.
Carl Camden: I'd like to have a lot more cash on hand to be able to talk about to get to the use of cash. This is a very rugged recession. For a while here we will be chewing up cash with growth in working capital. If demand continues to grow sequentially like we would hope it would, we will need more working capital to fund that growth and that's going to be a strong priority for a while. When we get to more stability of that side, there are things to look at both for internal sides in terms of some compensation areas that have to be turned on, externally dividends to shareholders would be a consideration. If you are asking questions like are we hot and bothered to go down an acquisition trail or to expand the branch network? No. Am I looking to make certain that we maintain the very strong competitive position we have now in many of our OCG services? Absolutely.
Bill Sutherland - Boenning: Yes, I was mostly curious if the Board is thinking about the dividend again and itself get there on the table when that is appropriate.
Carl Camden: Yes, I would like to see a sustained period of profitability work its way in our system and an ability to continue to fund the growth that we have. But if you're asking is the Board focused on, is the executive team focused on, a variety of aspects including dividends? Yes, on the list of things that we know we will look at in the future.
Bill Sutherland - Boenning: In terms of capacity assuming the growth continues, where do you guys stand? It sounds like there is probably some excess capacity in the system other than basically the recruitment side.
Carl Camden: At the moment, capacity worries aren't on my list of things that I'll need to focus on. You have excess capacity in the system. Will there be branches that will need additional recruiters? Yes. You heard Patricia talk about that we will need to begin layering back in recruiters in front of, hopefully, not too much in front of, but in front of the pick-up in demand for permanent employees. It's a delicate act. You have to have recruiters on hand to take advantage of the increase in demand, but you don't want them too far in advance because it layers in expense. The good operating team is very much focused on that issue.
Bill Sutherland - Boenning: So to a prior question I think I took away that you're kind of seeing normal seasonality quarter to date in the Americas. I guess you were also referencing the other markets as well. Is that a fair take away?
Carl Camden: There is more normalcy, but it's within a context of a rising GDP environment around the world. So there is a general lifting taking place in most of the economies that we operate, but there is also typical type of seasonality. As examples, during the holiday seasons in Western Europe and the U.S., you see more warehouse, more call center. There is just more of those types of seasonal activities that take place. So that type of seasonality...
Bill Sutherland - Boenning: I was thinking more like to January inflection point.
Carl Camden: And then what Patricia was cautioning was to not assume a linear projection out of Q4, but to understand that, in fact, there is a normal seasonality. How normal it will be is an open question. We don't know what the velocity will be in Q4, I mean in Q1 and we had in Q4, we had the extra week of revenue which will make some of those comparisons a little more exaggerated.
Bill Sutherland - Boenning: Just one last one, kind of a broader one, you reference that the industry is acting a little more rationally as players play to their competitive strengths. I have been away from the story for a while. How do you see yours, Kelly's, looking out to this hopefully recovery? How does that play into perhaps where you are taking your mix of business?
Carl Camden: I always appreciate people saying what are our competitive strengths. It's a fun question to answer. So, customer relationships are a significant strength. We have large customer relationships, multi-year, decades in some cases. Those customers are giving us an opportunity to now manage aspects of their free-agent labor on a global basis. The customer relationships are our strength. The fact that we have always focused on an ability to manage those accounts in a way that delivers significant operating results for them has been a strength of ours. That now gets reflected in our OCG Services. We are winning very large contracts to manage, in some cases $1 billion plus a year in free-agent spend around the world for these customers, so that is obviously a strength of ours. There are companies that may try to buy their way into the OCG area, but what they don't have embedded in their corporate culture is what it takes to service those large global companies in a consolidated fashion and that's what Kelly has been about now for a long time. So purchasing a presence in doesn't provide the capability to execute. That's what we're going to focus very much on that and making certain we have the right type of people to deliver those types of superior results. Secondly, we have countries that we have very strong either niche or overall presence in. In the last decade, when it used to be that you couldn't maintain those large relationships unless you were present in all countries, we were probably under focused and under invested in some of those great areas of strength. So what we have been doing in this recession is taking countries where we have a very strong presence. You heard us talking about some outsized growth being achieved in countries, very strong performances in Europe and France, Hungary, Russia. Strong performances in the U.S., which has been historically a pocket of strength for us, Singapore. So that ability to more differentially focus on individual staffing markets where we're able to lever up nicely is, I think, very much an advantage of Kelly that we have right now. We're all corporate-owned. We don't have a franchise system to deal with. We have an ability to drive global contracts without having to negotiate internally. I could keep going but that was enough.
Operator: Our next question is from Dale Dutile representing The Boston Company. Please go ahead.
Dale Dutile - The Boston Company: Just kind of a general long-term question, you've talked a lot on the call about reducing your cost structure and how the market has changed. The question you just answered about some of the new services, et cetera. I'm wondering in that vein if you could talk about what your business will look like in a recovery without putting a date on a recovery. If I just go back and look to when the business was operating in '06 and '07, if you think about in your recovery scenario given all the changes you've talked about, if you could help me understand what your business is likely to look like along three different vectors. I guess one would be the capacity to produce revenue. You've closed a lot of operations. I'm wondering what that does to your ability to produce revenue. Secondly, what the margins structure is likely to look like compared to the prior period I mentioned. Then lastly and probably most importantly, on return on capital basis, how do you see your business from a return on capital perspective in a recovery?
Carl Camden: I'll answer in general trends and say that I would like a little more time to go by before we put out a revised model. We'll pick some point in the future to do that, but, fundamentally, all the pieces are moving. So if you first talk about revenue, has many things moving. So, first, in terms of the optics of revenue, as you acquire a greater focus on fee-based revenue rather than staffing-based revenue, the macro number looks different. Staffing revenues are denominated in payroll dollars. Fee OCG businesses are primarily denominated just in the fee, and things associated with payroll dollars are in most of the businesses just to pass through cost, where we administer much of those activities but you don't report as revenue, you know the dollar. So the optics of revenue are going to change for us fairly significantly I think over the next two to three years. In the places we have retained our focus on staffing, we have a very high capacity to expand those staffing services and if needed, given that they are sources of outsized performance, we'll continue to expand that capacity. The shutting down of branches, in general, a branch would not have been shut down if it had a current or future high probability of delivering strong revenue growth. Those that were shut down weren't delivering the types of revenue or profit targets that we would have liked to have seen for branches or they would have stayed open. You don't abandon a branch just because it's in trouble or a country because it's in trouble during a recession. You look at it as long-term ability to contribute. Those that we've consolidated are closed, in general, were long-term negligible producers of either a return on capital or any type of operating profit. We were present in many of them just to retain what were profitable relationships with large enterprises, but not profitable in those specific locales. The optics of margin will be very different. The reported margin numbers look very different as fee income becomes a higher proportion of what you do. Where that will sort out yet, I don't know. For sure, when you can look at the staffing oriented businesses, margins will look very different for them as they bring it back. If you are asking is there anything that substantively would prevent the gross margins, gross profit margins from getting back to where they were pre-recovery for the staffing units? No. No structural differences there, but the optics of the margins will differ based on the velocity of OCG fee income. A return on invested capital, again, more interesting opportunities for us. The amount of capital you have to invest as OCG services become a bigger part of your mix, you have to invest significantly less on physical infrastructure. You don't need as many brick and mortar offices and so on. You are more software dependent, but much of that software isn't Kelly-owned software. It will be Kelly licensed software. So I expect the outcome to be as we have shut down underperforming branches, read therefore, underperforming capital in many places and as we shift our capital mix to supporting more and more fee-based services, it would be a very explicit goal of the company's and of the management team to see some significant improvement over time in the return on invested capital. To giving any more specifics than that, I need a much better handle on velocity of the recovery and a much better handle as to how the ultimate shape of the market for OCG services plays out. Will sometime in the future we probably make statements about how we see an operating model through the next cycle play out? I would think so. Is it going to happen today? No.
Dale Dutile - The Boston Company: Maybe you can answer this. Would you anticipate that returns on capital in a recovery scenario given everything you have mentioned would be materially better than what we saw in the last cycle? Relatedly, will management's incentive compensation be explicitly tied to showing better return on capital?
Carl Camden: So, aspirationally, there is no doubt that the Board and management shares a strong desire to see return on invested capital improve. What will the structure of management compensation look like a year or two out? There have been discussions on a variety of ways of seeing that all shift. The Board and I are in discussion on that and return on invested capital is one of the forms of measures that we are talking about, but no commitments or decisions at the moment, Dale.
OPERATOR: Our next question is from Ty Govatos with CL King. Please go ahead.
Ty Govatos - CL King: A couple of small ones. Shares outstanding at end of quarter, I couldn't find it.
Patricia Little: Flipping to find the page for you, Ty.
Carl Camden: Why don't you ask the second question while Patricia looks for that one.
Ty Govatos - CL King: Did I hear right, gross margins about the same 1Q versus 4Q, no negligible shifts?
Patricia Little: Yes, broadly speaking, the point being what will make a change in our gross margin is when fee business picks up and we're not calling yet when that would happen?
Ty Govatos - CL King: A little longer, the branch close...
Patricia Little: On the shares, it's 35 million. Actually, 34,900 something depending on whether you're looking at end of period or average.
Ty Govatos - CL King: Offshore, a lot of branch closings. It seems to me that you have shrunk or exited some countries noticeably. Could you go deeper into that to give us a better feel for just what you've done offshore?
Carl Camden: There are two or three ways of going deeply. So let me talk first theoretically and then move from big activities to some smaller activities. Again, as we said, Ty, as you and I have talked over the years, we went through as an industry a period of time where in the RFP process you had to check mark that you were in a certain number of countries. If you didn't check mark enough of them, you didn't get the bid. So, core U.S. customers for us were at risk if you didn't have the check marks. There were countries that we were in that we had never done better than much breakeven. In those countries, where that would be the case and we were careful in our wording, so let me be careful here, talked about reducing or eliminating our staffing presence in the country. In those countries, we've retained the capability to manage staffing for customers. What will take place over the next two or three years, you'll see Kelly managing enough staffing operations in much greater countries than we were in before, but directly staffing in fewer countries. So, we talked about ending staffing operations in Finland, Spain, the Ukraine, Turkish operations. In other countries, we took advantage of it to settle in on our niches where we were successful and where you didn't need to do Commercial or didn't need to do certain types of PT operations. Because, again, that broad product spectrum check-off, the list was no longer present. We chose then to bring the network down to where we were successful, profitable. If I use France as an example, France is a great country for us. We're much smaller than everybody else, but we have a very nice return. We do that by focusing on some specific niches. We had a systemic difficult problem in the U.K., where we were not large enough to compete across the full spectrum. We decided what did we want to do inside the U.K., and there, you saw very significant reductions in the branch network, significant reductions in the range of service offerings. The EMEA Commercial reported a very significant improvement in its operating income, a good portion of which was due to the restructuring activities in the U.K. and the reduction of that loss by a large amount. Was that what you were looking for?
Ty Govatos - CL King: To a degree. Is it fair to say that you've probably restructured Europe, not necessarily in terms of people but in terms of profitability of branches, et cetera, more than any other area in the world?
Carl Camden: Yes.
Operator: Next, we have a follow-up from Toby Sommer. Please go ahead.
Toby Sommer - SunTrust Robinson Humphrey: Carl, I was wondering if you could give a little color on your visibility is in some of the areas that historically have been areas of longer visibility, perhaps consumer product, product launches out on the calendar and call center training classes. Those two examples come to mind but if others are appropriate, I'd love to hear about that.
Carl Camden: I would say customers are still playing it close to their vest, Toby, on forward looking commitments to, as you just said, call center classes, how much support will they need for new product launches. Because they can, because they know capacity is greater in most of the economies to provide large numbers of competent people fairly quickly. They are not giving as much notice as they used to. To be fair, we're probably not pushing them as hard as we used to because we can hit that shorter time cycle now. Even if we wanted to provide guidance, we wouldn't be able to do at the moment, because that type of visibility isn't returned back to its normal levels.
Toby Sommer - SunTrust Robinson Humphrey: I was wondering, also a small detail question, are you participating at all in any staffing regarding the Census?
Carl Camden: No.
Operator: Mr. Camden, there are no other questions at this time.
Carl Camden: Thank you and thank you all for being on the phone call.